Kristian Johansen: Good morning, everyone and welcome to TGS Q3 2022 Financial Presentation. My name is Kristian Johansen. I'm the CEO of TGS and with me today, we have our CFO, Sven Børre Larsen as well. I want to start by drawing your attention to the forward-looking statements and I'll encourage you to read through that when the presentation is over. And then I hit the highlights of Q3 right away. So we had late sales of $65 million in Q3 and that compares to about $31 million in Q3 of 2021. So we more than doubled our late sales in the quarter and obviously, we reported this figures at the sixth day of the quarter. And you'll also notice that we had $135 million of total revenues and that compares to $200 million in Q3 last year. But keep in mind, last year, we had an extraordinary high portion of projects being completed during the quarter. And the way we recognized that, obviously, with IFRS had a very positive impact to Q3 of last year. But some of you are probably more familiar to the POC revenues. And the POC revenues this quarter came in at $119 million and that compares to $61 million in Q3 of last year. So, again, pretty much a doubling of our POC revenues which just reflects a very strong market and a significant improvement from a pretty low base from 2021 though. Also happy to announce that we had a robust order inflow. We had $140 million of new projects signed in, in 2000 -- or in Q3 of 2022 and that compares to only $30 million in the same quarter of last year. So, a significant improvement both in terms of late sales, in terms of POC revenues and order inflow which I will come back to. That means that our backlog stands at about $225 million at the end of Q3. And as you all know, we have also made the acquisition of more than 76% of the shares in Magseis. And if you add Magseis' strong backlog to this number, it's obviously going to be, by far, the strongest backlog that you've ever seen from TGS. So we're in a really good position entering into 2023. We see a continued improvement to the market and it makes us really optimistic about the future for this company. We combined that with a solid financial position. We have net cash of $192 million and keep in mind that we spent quite a lot of cash on 2 acquisitions during the quarter. We bought the company, Prediktor in Q3 and paid for that with cash in Q3. And we also acquired the seismic business of ION Geophysical that used to be a public company in the U.S. That was also paid by cash during Q3. But despite those acquisitions, we actually ended up with a cash balance of $192 million which is well within the comfort zone of where we want to be in terms of financial strength and liquidity. That also means that we're in a position to continue to pay dividend of USD 0.14 per share which corresponds to about $16 million. And I can clearly conclude that we're delivering on our strategy. It's supported by 3 M&A transactions that all were closed, or 2 of them were closed in Q2 and the last one is going to be closed in Q4 -- sorry, Q3 and Q4. And last but not least, we see a continued recovery in the market which is -- obviously, when you look at the numbers and compare it to last year, you'll see a tremendous increase in the activity level and we think that trend is going to continue into Q4 and into 2023. I'll touch on our strategy. As I said, we are executing on our strategy and our goal of being a leading energy data company. And energy data means more than oil and gas data. It also means data for wind and solar and geothermal and deep sea minerals and even carbon capture and storage. There are great opportunities for us in the energy space going forward. The strategy basically has 3 important pillars. One starts with maximizing shareholder returns. We will never sacrifice on that goal. We continue to have a relentless focus on cost. We combine that with a low financial gearing which again counters a high operational gearing in our business. And we think we found a business model and also a financial and capital structure model that is quite unique in this industry. And that means that we can continue to target the industry leading returns and that's the returns you will see from a combination of dividend and share buybacks. And I think the illustration there is really good in terms of comparing TGS to the Philadelphia Index, where you'll see TGS has a cash conversion rate, so, you know how much of your revenues do you actually turn into free cash. It's 30% for TGS and it's 3% for the Philadelphia Index in average. So it's clearly a unique business model, a unique capital structure and a unique performance through the cycle that allows us to continue to deliver very strong returns. We combine that with improving -- or an ambition to improve and expand the seismic offering. So you'll see we made 3 acquisitions within the seismic space over the past few years. It started with Spectrum, followed up with ION and then the last one is Magseis Fairfield. The first 2 acquisitions, both the Spectrum and ION, really puts us in a great position in terms of high growth areas. So take the Southern Atlantic as an example, that's where you see a lot of the growth at current. You see Brazil activities really picking up. And the combination of TGS library but also the Spectrum library and the ION library makes us a truly unique provider of seismic in this area. In addition to that, we also see that the multi-client market may be too small for us, so that frontier multi-client may be too small. So we see a lot of opportunities outside that as well. We want to gain access to the, what we call, non-frontier activities. And what we mean by non-frontier activities would be for the production seismic and converted contracts. And we think the acquisition of Magseis Fairfield puts us in a really unique position in order to target those areas as well and really use our strength -- our financial strength and our commercial strength and our business model to gain a bigger part of that market as well. We continue to consolidate and we do that to gain economies of scale and provide our clients with a reduced unit cost in the future. So I think this is a great story in terms of how we've changed with the markets. The market is very different today compared to what it was 5, 10 and 20 years ago. And we change with the market. We see a higher activity level around proprietary and converted contracts. And with the acquisition of Magseis, we're going to put ourself in a really unique position in terms of targeting that market as well. And then, last but not least, we want to be positioned for what we call the energy evolution. So we want to utilize our core competencies to build an offering across the energy value chain, so not only oil and gas. So despite the fact that we think that oil and gas will be critical for many, many years and decades to come, we see significant growth opportunities in the renewable space. And we think by applying the same business model, as we have done now for 40 years in oil and gas, we can become really successful in terms of reflecting the overall energy mix and provide data across the value chain. These products and services are going to be subscription-based. So this is data on insight that is supposed to be subscription-based. It's going to be non-cyclical and it's going to provide a new revenue stream for TGS in the future that adds on top of the revenue stream that we have in seismic. So again, we're extremely proud of what we have carried out this summer. We think it really puts TGS on the map in a very different way. It provides new opportunities for us. It provides more growth opportunities and we have a more diversified and solid company. And last but not least, we combine that with continuing to have a very strong balance sheet with about $200 million of cash, even after 2 of these 3 acquisitions. So I'll talk a little bit about the recent highlights. And I think the first one that is important to mention is that U.S. has finally set a date for the March lease sale in the Gulf of Mexico and this is very positive news, of course, for the entire seismic industry but particularly for TGS. It's got a very strong and dominating position in the U.S. economy. So BOEM announced next steps for the oil and gas leasing on the GOM Outer Continental Shelf and this is to comply with the provisions in the IRA or the Inflation Reduction Act that was released by Biden quite recently. Basically, what it says of the Inflation Reduction Act is that it requires BOEM to, number one, accept the highest valid bids from Lease Sale 257. So, that has already been carried out. So anyone who bid and won a lease in the lease sale last fall, they've now have been awarded these leases finally. They're also obliged to hold their Lease Sale 258 which is in the Cook Inlet basin in Alaska, by the end of 2022. So that's going to happen before Christmas. It doesn't really have a lot of impact for TGS because we don't have any – or we don't have much seismic area -- or seismic data in the area. But more importantly, they're also required to hold Lease Sale 259 which is the Gulf of Mexico lease sale and the deadline for that is March 31st of 2023. And not only that but they've also committed to Lease Sale 261 which is also in the Gulf of Mexico and that will be held by September 30th, 2023. So there will be 2 lease sales. These lease sales will cover the entire Gulf of Mexico and, obviously, that's great news in terms of our planning for both new projects but also our late sales budget for 2023. There is going to be some royalty rates related to the IRA and one is that they will increase the minimum royalty rate from 12.5% to 16.7%,and this is for our future OCS oil and gas leases. But there is a positive to that too. It means that they also establish a maximum rate of 18.75% for future leases and that lasts for 10 years. So there is not going to be any negative surprises in terms of new taxes being added, as you've seen in a few other countries quite recently. Then, they have made a commitment to not make any changes to the royalty rates for existing leases which also means that there are no surprises related to existing leases which obviously our clients looked very positively at. And there's also a connection to offshore wind and we see that as very positive because what it says is that they may not issue a lease for offshore wind development, unless in the year preceding that sale BOEM has held at least 1 oil and gas lease sale. So any new lease sale for offshore wind -- and we know that there's going to be a lot of lease sales for offshore wind. So any lease sale for offshore wind will have to be followed -- or there will have to be an oil and gas lease sale before that. So that's also very positive and a good driver for the industry. So I think a lot of people kind of underestimate the impact this is going to have for seismic going forward. It really means that Gulf of Mexico is back in terms of seismic activity. The good thing is that the U.S. Gulf of Mexico already has a lot of seismic. It already has a lot of 2D and 3D seismic and the next generation of seismic in the U.S. GOM will be ocean bottom nodes. And with the acquisition of Magseis Fairfield, TGS is in a very unique position in terms of grabbing these opportunities for the future. So we look at this as very favorably and it just adds to all the pros that we see by the acquisition of Magseis and how that's strategically important for TGS in the future and how that's going to strengthen our position in one of our core markets going forward. So I talked about the order inflow that is record high at $140 million in the quarter. I'm just going to go through some of the projects that are behind that order inflows. So I'll start with the Capreolus Phase 2 in Australia. You'll see it from the map that this is an area where TGS has quite a lot of data. And that's actually been 2 quite recent discoveries, one very recent discovery here. And it's also been a discovery a couple of years back, the Dorado discovery in -- by Santos back in -- 3 or 4 years ago. So this is in one of the hottest areas in Asia Pacific right now. And I'm extremely proud that TGS got the permit and also got the opportunity to acquire more data in Australia. This is a basin where we've done really well financially over time and we're going to continue to do that. So the data acquisition of this service starts in early 2023 and we're using the PXGEO vessel for that job. Then we have the Amendment 2 in the Gulf of Mexico. I know a lot of you have been waiting for that survey to finally come up. You know, we've been waiting for permits for quite some time and there's been kind of a standstill in the U.S. GOM for quite some time. But we've been quite optimistic in terms of the future and we know there's a lot of pressure on politicians to open up the GOM again. And that's why we believe the Inflation Reduction Act is very positive for oil and gas in general. It's positive for all -- for the entire energy mix but obviously it helps a lot in terms of getting permits to acquire more data in the future. And as I said, a lot of this is going to be OBN data. So the long-offset OBN data in the U.S., if you look at the volumes right now, we're going to have more than 13,000 square kilometers after we're done with this survey. In total, we have about 222,000 square kilometers of 3D data. So if you subtract 13,000 from 220,000 [ph], you'll see that there's a lot of opportunities going forward where there's going to be many, many years of OBN activity in the U.S. Gulf of Mexico which, again, is very positive for our growth going forward. We also finally announced a new onshore project. It's called Swanson 3D. It's Canada onshore. This is a project that is relatively small. It adds about 100 square kilometers of high quality seismic data and it's in the Montney basin in Canada. And as you see it from the map, we already have a lot of data there. And again, it's always important, when we start new surveys, we always have to look back on the financial success or lack of success of previous surveys. And this is another area where we call it a sweet spot in terms of financial returns. We've always done well on the surveys that we're doing in this area and that gives us high confidence in terms of providing good returns also in the future in the Montney basin in Canada. This acquisition will actually commence in Q4 this year and then we're going to have data delivered sometime in May 2023. Talk a little bit about the Magseis acquisition as well. We've obviously had a couple of sessions where we have talked about this already. But the status right now is that we have about 75.4% of the outstanding shares of Magseis. We got that through the voluntary offer that expired on 28th of September, 2022. Then the next step is to provide the remaining shareholders with a mandatory cash offer for the remaining shares. That's going to be announced shortly. It's probably going to start sometime in early November and then it's going to be open for about 6 weeks. And then the shareholders can decide whether they want to take the mandatory offer. And if they don't want the mandatory offer, we will -- our intention is to propose the statutory merger if the voluntary offer fails and then bring the holding to more than 90%. So no matter how we get there, we're going to get to a full control of the company. It's going to be fully consolidated. We've already started the integration process of -- a data analysis of the integration process. And then obviously, we're going to kick off the full integration whenever we have more than 90% of the shares which is going to happen over the next couple of months. I can also remind you about the strategic rationale but I think it comes across pretty clear through the -- throughout the presentation. But, number one, it really strengthens our multi-client business towards ILX and converted contracts. And that's where we see kind of a shift in the market. We think it will shift back eventually but it's a clear shift from frontier seismic to ILX. We've seen that over the past 3 to 5 years and we -- gradually, we see a number of our servers have shifted from being frontier to more ILX work. But this is really going to give us a great continuation of that strategy and we -- by controlling the -- a significant part of the OBN market, we put ourselves in a really good position in that regard. We're also positioned for production seismic in 4D. Obviously, we're going to continue to do that. Magseis is not going to be a multi-client company. Magseis is going to continue to be a divisional TGS where they continue to do what they do today. But the beauty of having TGS as the owner is that we can fill the gaps, we can optimize the backlog at any point of time and we can hopefully improve the returns quite significantly over the next couple of years. It's going to enhance our position in OBN processing. We have some very successful processing projects in the U.S. Gulf of Mexico. We really want to build on that. We really want to make sure that for OBN processing, TGS is going to be a tier 1 company and that is going to improve our exposure towards energy transition related industries. If you look at offshore wind, if you look at CCS and deep sea minerals, Magseis has the tools to do it. They have the toolkits to carry out some of these surveys. And we're going to see significant growth in that going forward. But again, the market for oil and gas is so good right now. So Magseis is pretty much sold out now for the next 12 to 18 months. So it's a good problem to have. But, of course, we also want to target areas where you see higher growth in the future. So in that regard, it also strengthens our new energy solutions strategy. And it's interesting, if you look at the upper picture in the -- on the right side of the slide, you see all the opportunities that you have, not only in multi-client, as you see in the -- on the left side but you see traditional data acquisition that is being carried out proprietary. We're going to continue to do that. You see renewables, you see technology lease and sale which Magseis has been quite successful with in the past and then, obviously, reservoir monitoring. So it provides a significant diversification of our business going forward and it doesn't impact our returns in multi-client to probably going to be even higher in the future, because we get a higher proportion of ILX work as well. So I think this is something we are, obviously, extremely excited about. And we're also very excited about the 2 other acquisitions that we made and closed in Q3. One is the ION Geophysical. I honestly have to say, I think ION Geophysical is going to go into the history books of being the best acquisition we've ever made. And I can't provide details -- or further details about that. But I think we've never seen an acquisition with such a fast payback time. And we're just very, very fortunate to be in a financial position where we can take the opportunity when the opportunity is there. So when the door is open, we can get in there. We can do a deal that no one else is able to act that quickly because of our strong balance sheets. The transaction closed in late August 2022. We've already added 60 employees that has moved to TGS as part of the transaction. And the integration into TGS which is mainly on the processing side is about to be completed. So we're extremely happy to have lots of talent coming in from ION. That used to be one of the really strong processing companies back in the days and then they kind of underinvested in their technology over the past few years. But we think we can really bring this back and really make sure that the sum of TGS and ION in processing will be a tier 1 company. Prediktor, we've talked about Prediktor before but it's a leading provider of asset management and real-time data management solutions and this goes to both renewable and energy asset owners. We are particularly focused on the solar market. This is probably the fastest growing market in the energy transition related industry. So we're very excited about adding Prediktor to the mix. It makes up an important part of our offering in our new energy solutions. And we're adding about 40 employees to TGS. They've already been integrated and transaction closed in early July and this is being integrated and aligned with our overall Digital Energy Solutions business. So again, a very, very interesting add-on to our business for the future. So with that, I'm going to hand it over to Sven Børre. He's going to go through the financials and then after that. I will come back and talk a little bit about how we see the market and how we see the outlook going forward. Thank you very much.
Sven Børre Larsen: Thank you for that, Kristian and good morning to you all. So I will go through the financials. And as always, I will start with going through the revenues in more detail. In -- starting with the early sales in the upper left-hand corner of this slide. As you can see, we had $55 million of early sales recognized in Q3 2022. This is significantly lower, obviously, than the $164 million we had in the same quarter of last year when we completed some big projects in Brazil. The largest contributors to the early sales in this quarter are the projects -- the largest projects that were completed during this quarter, were the NOAKA, OBN survey in Norway, Espirito Santo, 3D in Brazil and Cambriol 3D [ph] in Canada. And then we had a number of smaller surveys and reprocessing projects that were also completed and contributed in the quarter. Then focusing on -- sorry, focusing on the late sales on the top right-hand corner, we had $65 million of late sales in this quarter compared to $31 million in the same quarter of last year. And this is actually an increase of 108% year-over-year. As you can see, it's a little bit down sequentially and that has to do with the significant amount of transfer fees that we booked in Q2. But -- and I call it underlying basis, excluding transfer fees. We are more or less at level with where we have been in the past few quarters. In Q3, we experienced particularly strong sales in Africa and Latin America and also in Gulf of Mexico. Then focusing on proprietary sales on the bottom left-hand corner, we had high proprietary sales in the quarter, $16 million and that has to do with the NOAKA survey that we continued to do during this summer in the North Sea. So the NOAKA survey is kind of a hybrid survey which has -- from an accounting viewpoint, has a proprietary portion and a multi-client portion. So we recognized a large part of the proprietary portion during Q3. But we also saw higher activity in terms of proprietary processing in the quarter which also contributed to this increase that we see in the quarter. So this meant that we had $135 million of total IFRS revenues in the quarter which compares to $200 million in the same quarter of last year. Then going into -- more into detail on the operating results and the cash flow. On operating expenses, we had total operating expenses of $27 million in this quarter. Note that this excludes a $3.2 million charge related to M&A costs that was booked in Q3. So it's costs or an accruals related to the 3 transactions that Kristian already talked about. So this has been excluded from the $27 million number that you see in this chart. So as you can see, we're a little bit up compared to the same quarter of last year when we had $24 million of operating expenses. And that has to do with -- mainly with 2 things. First of all, we included ION staff from the closing date of 1st of September. So, the month of September also included some staff from ION which obviously increases the personnel cost in the quarter. And secondly, as I already said, we had a bit higher activity on proprietary imaging in the quarter which means that we did a little bit less proprietary multi-client or imaging multi-client work which means that we capitalize less and we expense more of that personnel cost. So all in all, we are very happy with the underlying development in operating expenses and we continue to show very strong cost discipline. Then focusing on amortization and impairments on the top right-hand corner there. You see that we had $90 million of amortization or total amortization in the quarter which compares to $144 million in the same quarter of last year. Of the $90 million, straight-line amortization accounted for $39 million. So that's a little bit down compared to the previous quarter but this, obviously, don't move very much from quarter-to-quarter. So you should expect it to be reasonably stable going forward. Then accelerated amortization amounted to $42 million. That may be a little bit higher than what you normally would think. The accelerated amortization related to early sales was in the range of $25 million to $30 million. So it accounted for roughly, say, roughly 50% of early sales which is probably where we should be on a normalized basis. Although this will jump a little bit around from quarter-to-quarter depending on which projects that are being completed. The reason why accelerated amortization in total is higher than that number is partially related to the fact that we had some accelerated amortization related to late sales in this quarter. We don't have that in every quarter but in this quarter, we had. So sometimes, when we do larger sales of individual surveys, we -- that have little headroom left in there, call it, impairment test, we will have to also book an amortization in association with late sales on top of the accelerate -- on top of the straight-line amortization. So we have a little bit of that in the quarter. And also, there are some technicalities related to the ION transaction that impacts accelerated amortization. So obviously, when we take the ION surveys into our library as of 1st of September, we do that at a level which means that net book value equals fair value or value in use. And when we then have sales continuing on those surveys in September, we have to book an accelerated amortization on those surveys. So it's a bit of a technicality. So this meant that the operating profit was $4 million in the quarter. Again, this is adjusted for the $3.2 million of M&A-related expenses. Then free cash flow was $10 million in the quarter which is not very impressive. But if you look at the last 12 months or the last 4 quarters, we actually have had $155 million of free cash flow. And as you know, free cash flow will jump a little bit around from quarter-to-quarter due to changes in working capital and other elements. But if you look at this in a slightly longer term, you will see that we continue to produce very strong free cash flow. Then going into more detail on our multi-client library. You see here that we had multi-client investments of $79 million. So, quite high multi-client investments in the quarter and that compares to $56 million in the same quarter of last year. The high investments is obviously mainly due to a higher activity level in terms of data acquisition activities. But it's also a, call it, technical element related to a change in accounting practice. So in the past, as you may know, when we have had this risk share contracts, where a vendor has taken risk on sales, we have booked the investment when the sale has happened. So if that sale has happened, say, 3 years after the survey was completed, we have booked the associated investment at that point in time. So, at the same time as we have booked the sales. Now we will have to make an estimate of future risk share sales and book the investment as we do the survey. So therefore, we have implemented that change now in Q3 and it's also a little bit of catch-up from earlier this year. So that has caused investments to be a bit higher than it otherwise would have been. Looking at the net book value of the multi-client library, it stood at $576 million at the end of the quarter. So it's slightly up compared to Q2, partially obviously due to the ION acquisition and partially due to the investments -- the high investments that we just went through. Going forward and looking into 2023 and what our kind of preliminary plans show us, we are quite optimistic that this trend without shrinking multi-client library will turn around and that we will start to see an increasing trend from next year. Then looking at the chart on the bottom left-hand corner, you see our multi -- or our investments by vintage and also where the net book value of those vintages sit currently. Obviously, in the IFRS reporting, we do very little amortization on our work in progress balance. Most of that happens when we recognize the revenues at completion. And therefore, of course, the net book value is pretty close to historical investments for our WIP balance. Looking at the revenues by year of completion on the bottom right-hand chart, you see that we continue to show very strong revenues from older vintages. In this quarter, 23% of our revenues came from surveys that were completed prior to 2018 which we like very much because those sales normally have a very high margin. Also, what's encouraging to see is that our 22 vintage is selling really well which also bodes well for future returns. Then the income statement. So with the early sales, late sales and proprietary sales, as I went through earlier, total revenues were $135 million in the quarter. We had high cost of goods sold in the quarter and that is related to the proprietary revenues that we recognized in connection with the NOAKA survey that I talked about earlier. So the cost of goods sold -- the increase in cost of goods sold is associated with the increase in proprietary sales. Personnel cost of $17.9 million and other operational costs of $12.7 million. This again included $3.2 million of M&A-related went-off expenses. This gave us an EBITDA of $97 million in the quarter. And then subtracting amortization and some smaller impairments and depreciation, it meant that we had an operating result of $1.1 million. You see there on the table that we had exchange losses of $3.3 million in the quarter and that's related to some non-USD assets that we hold, that obviously have depreciated in value as a result of the appreciation of the dollar versus most other currencies lately. This gave us a result before taxes negative of $2.3 million which meant that we had a positive cash cost that gave us a net income of -- a negative net income of $1.7 million in the quarter. Looking at the balance sheet. It obviously continues to be strong with a strong net cash position of $192 million. And as you know, on top of that, we have an undrawn RCF of $100 million that we can utilize. We are now in a prolonged discussion with -- or in detailed discussion with banks about refinancing this facility and also include the $45 million facility that Magseis has. So you will probably see more news on this before we report the Q4 numbers in early February. Then to the cash flow statement. Not much to note here. You'll see the investments -- the M&A-related investments of $41 million that were charged in the quarter, that was related to ION and Prediktor. So we had no investments related to Magseis in this quarter. And then we obviously continue to pay dividends and we also bought back shares worth $4.5 million in the quarter. So this meant that we had a negative net cash flow of $59 million in the quarter which brought our cash balance down to $192 million. Then dividends; so once again, the Board has resolved to maintain the dividend at $0.14 per share in this quarter with the strengthening of the dollar versus the Norwegian krona. It means that the Norwegian kroner-denominated dividend is now up to NOK 1.48 million in this quarter. The ex-date will be 1 week from now on 3rd of November and the payment date will be 3 weeks from now on the 17th of November. And as I noted already, we bought back shares worth $4.5 million during the quarter. With that, I will hand back to Kristian that will cover the market outlook. Thank you.
Kristian Johansen: Thank you very much, Sven. So in terms of the market outlook and how we see the -- hopefully, the next quarter but obviously, in the next few years. So I'll start with a slide that most of you are quite familiar to and it talks about the trilemma between sustainability, affordability and availability and I think this is really core to what we see in the energy markets today. We see an imbalance in the trilemma between the 3. We see a world that has moved too fast in the direction of sustainability on behalf of availability and affordability. If you go back 5 or 10 years, it was probably the other way around. We were too focused on availability and we forgot about the sustainability. But the key challenge now is, how can you find the right balance between the 3 such that we can provide affordable energy, we can have available energy and we can do that in the most sustainable way. And I think it's important to say that the final goal here is not to get rid of oil and gas. The final goal should obviously be to reduce emissions. And reducing the emissions in the most successful and quickest way would be to obviously replace coal with natural gas. And it would also be investing heavily in carbon capture and storage, such that you can continue to provide oil but in a much cleaner and more sustainable way. That's really the recipe for how we have to move forward on this. And finally, it seems like the world starts to realize that. And unfortunately, there is a war that kind of reminds us about how important energy security is, that we've clearly learned a lesson during the past 6 or 8 months and that's really going to impact the markets going forward. There's no question about that. So energy security requires higher exploration activity. There is no question about that. And if you look at the graph on the -- or the bar chart on the right-hand side and you look at where we are today, even with a slight increase in 2022, you see we're at the level that is somewhere around 1/3 of what it used to be. And then you can argue that the baseline was too high if you compare it to 2014. But the fact now is that we are running out of oil and gas. We already see the results of that with the energy crisis in Europe. And there is a strong push now to make sure that we can produce more such that we can get over these kind of obstacles that we're faced with today. And that means that we've had 8 years of under-investments. And after 8 years of under-investments, you will see an increase and there could be a quite sharp increase in exploration investments. And higher energy security concerns and we're not talking about temporary concerns. We're talking about permanent concerns. It's going to be here for a very long period of time. We see improved success rate. With success, you're probably likely to take more risk in the future as well which is good. So 2022 has actually been one of the best years for exploration success in many, many years. So we're glad to see all the discoveries that have been made but it's -- it doesn't really fill up the gap between supply and demand that is just growing bigger and bigger almost every day. Frontier is recovering; we see that -- and I will come back to that when we talk about future licensing rounds. But frontier is definitely back on the agenda. It's taken longer than most people would expect. I think most IOCs are definitely getting more focused on certain basins than they used to. But to replace some of the IOC activity, you see NOCs seeking international markets and you obviously see start-ups and the smaller companies taking advantage of the strategies of the IOCs. And then last but not least, gas is becoming more attractive. So you see it pretty much all over the world. Now -- it used to be the way that you were always drilling for oil. And if you were unlucky, you would find gas. Now they're actually drilling actively for gas because that's really the core to replace some of the shortage that we have in the world today and also, the very important mechanism to get rid of coal in the future. The oil market is remaining tight. I mean the oil price, as you see on the left-hand side, has been quite volatile recently but it's still at a very, very high level. If someone told us 3 or 4 years ago that the oil price would be 95%, then we would be slightly disappointed about that. Nobody would believe it. But if you look on the right side now and you look at what EIA expects in terms of stock build and draw for 2023, you see that they actually expect a net draw on reserves in 2023 which means that there is a very, very strong backing now to keep the oil price high. We've seen how OPEC react, we've seen how Shell reacts in the U.S.; there's hardly any production growth or definitely a lower growth than most people would expect. So we're quite confident that the oil market is going to remain tight and obviously, that's a good foundation for our success and for future investments in seismic. We talked a little bit about licensing round activity. This is probably the busiest slide we've shown since 2018 in terms of the number of licensing rounds coming up. I'll touch on a few of them. Gulf of Mexico, I've already talked about. It's great news, of course, for a company like TGS. We see the Brazil Permanent Offer Round that is opened in Q4. We see round in Suriname where we are or have been active in 2022; Uruguay, where TGS has a lot of data from the acquisition of Spectrum. We see Europe, of course, with the APA Round that had a surprising high number of companies participating. We see Africa which I'm not going to touch more on. I'm just going to look at the list and say that the list is definitely longer than I've seen in many, many years which again, means that Africa has probably been the region where we see the highest year-on-year growth in terms of activity. We think that's going to be the case for 2023 as well. So when we get the budgets -- or the bottom-up budgets over the next couple of weeks, I would be surprised if I don't see a growth in Africa that is probably more than 100% in terms of activity level. We see a growing demand for OBN data. This is a fantastic slide. I think we got it from Magseis but it shows the activity level in 2020. So it's a total market revenue for OBN globally in 2020. That's the one to the left. And then you see 2021, where you see quite significant growth in the market to a level of $635 million. and a sharp growth in 2022, obviously, coming out of COVID and more activity and more basins opening up and we see a sharp growth to the market size of about $800 million in 2022. The important thing here is that one -- or the column number 4, the bar number 4, where you see that about the same as the total revenue for the industry in 2022 has already been booked for -- or secured for 2023. So we're already at the level of 2022, even if we don't sign up any new OBN contracts for '23. But the last bar is showing that, that's a pipeline of unsecured opportunities that comes on top. If we had capacity as an industry to take on that, then you would see a solid portion of that build on top of the second bar from the right. And you see now how tight that market is and how fast it's growing. So this is a market that I know all of you have followed for quite some time and nobody has really been very profitable in this market. But of course, with the tightness that you see in the market now, you can probably assume that rates will go up and you will see that companies really start to make money. So we think that the timing of our entry into this market is really good. And then on top of that, we will have cost synergies, we will have revenue synergies in terms of improving the utilization. So we think this is an extremely exciting picture for TGS going forward. So I promised to touch on the contract backlog and inflows. So the backlog stands at about $225 million as we enter into 2024, you see -- or entering into Q4. As you see from the pie chart, you see that 20% of that is going to be booked in Q4 and 45% is going to be booked in the first half of 2023 and another 35% is going to be booked in the second half of 2023. More importantly, the contract inflow -- and you've seen we've taken a significant step up in terms of the order inflow this year compared to last year and we think that's going to continue also into 2023. So it looks really promising in terms of the activity level. And I think when you add Magseis on top of this, we can be very optimistic entering into 2023 and 2024. So with that, I'm just going to touch on the highlights. We're pleased about our results. Our late sales is about double of last year. We see our total revenues -- and particularly, the POC revenues are also about 100% up compared to last year. We had a strong order inflow, $140 million. That's about 4.5x the amount that we had in Q3 of last year. We're pleased about the backlog and the backlog is more than double with the addition of Magseis, of course, solid financial position. We're extremely proud of the fact that we made 2 acquisitions with payment in cash and we still stay pretty close to $200 million at the end of the quarter. Quarterly dividend, we continue to pay that. We're delivering on our strategy. Pleased about the M&As that we've made. We think the timing is good. We think the strategy behind it is excellent and we see a market that continues to recover. So with that, I want to say thank you very much for your attention for all the people in the room but also people who follow us on webcast. So with that, I will have Sven Børre come and help me read the questions and help me answer some of them. Thank you very much.
A - Kristian Johansen: John Oliasen, you have the first question, please?
John Olaisen: A question on -- looking into 2023. Over the last 10 years, multi-client investments have gone down roughly 70% in dollar terms. And multi-client investments is a -- in dollar terms is a good proxy for volume as well. And if you look at late sales in 2022 for the industry as a whole, it seems like -- well, we still have Q4 left, of course but it looks like late sales is going to be up 100% or more for the year. It's a big jump. But my question now is, for 2023, do you think the industry has enough multi-client data to continue to see strong later growth into 2023? Or does the industry need to do more multi-client investments first? Because it's an interesting -- of course, you could argue there's been some special FX in 2022; post COVID, some transfer fees, etcetera and in fact, consensus is expecting lower multi-client late sales for the industry. If you look at consensus for CGG, PGS yourself for next year, late sales are expected to come down. So is consensus into something here? Is it because of investments have been too low and there's been too many special FX for the industry as a whole in 2022? Or do you think there's room to grow late sales for the industry in '23?
Kristian Johansen: I would be extremely surprised and very disappointed if we see a lack of growth in 2023. We're obviously in the early days of setting our budgets for next year. But as I said, Africa is looking significantly better. Brazil has not been particularly good this year. We think we're going to see a rebound next year. We're back to licensing rounds in the U.S. Gulf of Mexico in 2023. And I just feel very confident that we're going to see growth in late sales. I can't talk on behalf of the entire industry but I think we have a library and the accounting value of the library doesn't really make sense in terms of we amortize it so heavily right now but we have so much data. And you see pretty much anywhere where there is new activity or there is a discovery -- Namibia is one example, Suriname is another example. You're going to see that happening in 2023 as well. And then guess what, TGS will have data in that place anyway. We have such a big database now with the Spectrum and the ION and obviously, the vintage database of TGS. This quarter, we had about 25% of our sales coming from fully written off data. The ION data library which has, I don't know, the book value of the data library of ION but it's just a few tenants, right? I mean that library is in volume size, it's about 1/4 of TGS. So I mean there are so many opportunities. And I think we have a tendency to underestimate the speed of the up cycle and we have the tendency to underestimate the speed of the down cycle as well. When I look back at not only our estimates but pretty much all the estimates from back a year ago, what we were expecting for 2022, I mean no one was saying that, yes, late sales is going to grow by 100%. And if I said that at the presentation in Q3 last year, people would think I'm stupid, right, or crazy. And I'm not going to say that we're going to grow another 100%. But you always get surprised in this business. When you have an up cycle, it usually goes higher and steeper than most people expect.
John Olaisen: That's the history. So it's a bit strange to see consensus estimates were down, late sales down for the industry. But on Q4, of course, the Gulf of Mexico is going to be potentially a big trigger for, you say, late sales in Q4. How do the oil companies react so far? Is there any uncertainty about the March round? Are they holding back because they want to -- like to be more certain that it's actually coming? Or do you -- do the oil companies just -- have they started buying data already ahead of the March round?
Kristian Johansen: Yes, I don't think I want to be specific on the latter part of the question. But what I can say is that I don't -- none of the oil companies that I speak to personally have any doubt that it's going to be a lease sale and the data has been set and there is not much of an uncertainty around that side. I don't think anyone is holding back because of that. I think if people are holding back, it's either because they have the data from before or that they have a tight budget. But we don't think that's the case. I mean if you look at what the budget is for an oil company for 2022, I mean they obviously underestimated their cash flow and they have more cash than they've ever had. And if we have the right data at the right place and now we have a trigger as well, I'm fairly optimistic about that.
John Olaisen: Optimistic about?
Kristian Johansen: About Q4 and the Gulf of Mexico and activity around that. Not only TGS data but in general, the activity level in front of the -- or ahead of the licensing round, we think that's going to be pretty good.
John Olaisen: So is it right to assume that Gulf of Mexico is going to be the big swing factor for Q4? Or are there any other regions in general that could be a big swing factor positive or negative for you guys?
Kristian Johansen: No, I think we are hopeful that the GOM is going to be a swing factor. We think that when we saw the news, although we expected some kind of news around it and we expected that there was going to be a round sometime in 2023 and I think we've discussed that before. I've been fairly confident about that. They're obviously getting that confirmation, makes us more optimistic, of course. So yes, I think GOM is definitely going to be a driver. I really hope that Brazil is going to be a driver as well. We're looking at a lot of new opportunities in Brazil which not necessarily is going to move the needle for late sales in Q4 but we see Brazil definitely picking up as well and we have such a big database there that's going to be positive, too. So I think in general, we were quite hopeful that we've beaten last year by about 100% every quarter if you adjust for the transfer fee that we had in Q2. So obviously, Q2 was better than 100% over. But I don't see why we shouldn't be able to target there for Q4 as well.
John Olaisen: There's more questions but I guess I could take them at the end if there's more time.
Kristian Johansen: Jorgen?
Jørgen Andreas Lande: So just on your question in terms of the -- reversing the declining trend on the multi-client book value for 2023 and onwards, in -- just in terms of investments, I guess it's fair to assume higher investments for next year. But I think you also alluded to that Magseis is kind of fully booked for 2023. So does that mean that your 2023 investment estimate will be no OBN investments, particularly, strong growth in those investments for next year?
Kristian Johansen: No, you can probably assume that some of that booking that is behind Magseis backlog is provided by TGS, I guess. So no, I don’t think that’s going to be a significant bottleneck for ‘23 for us. I think we have the capacity we need and we’re obviously discussing that pretty much daily with Magseis and obviously, 3D providers as well and trying to secure capacity for 2023. And I’m not afraid of seeing kind of an impact – negative impact on our investment level. I don’t think we’re there at this point. I think we have the capacity we need.
Sven Børre Larsen: We have already announced the Amendment 2, obviously, OBN in Gulf of Mexico, where we are using Magseis which will be mostly executed in 2023.
Jørgen Andreas Lande: So is it too early to kind of give a rough split on OBN versus traditional 3D in terms of investments for 2023 at this point?
Kristian Johansen: Yes, it's probably too early to be specific on that. But I think, as Sven Børre has said, I mean we've already secured a Magseis crew for the GOM survey. We hope that we can do another GOM survey during the course of '23. Probably like to be active in the North Sea as well or Norway, U.K. So that's probably it in terms of multi-client activity. And then, I mean, there are partnership opportunities, of course, on top of that. So I don't think capacity is going to be an issue in terms of meeting our own investment ambitions for next year but I don't want to reveal those ambitions yet.
Jørgen Andreas Lande: Just lastly here, on pre-funding, PGS was out yesterday saying that 2022 has seen a positive shift towards multi-client and they're expecting higher and quite high and strong prefunding for 2023. What's your view on that?
Kristian Johansen: Yes. I mean, first of all, we see a shift from where most of our business used to be very frontier with very low funding and high risk and we see a shift, a gradual shift back to when we've seen that over the past few years where you have more converted contracts. And obviously, that requires higher pre-funding because the overall sales multiple is lower. And we target the same IRR pretty much. So I think in that regard, yes, we expect strong pre-funding in 2023. We're probably -- and some of the discussions we have with our Board right now is that given our outlook of the market and how we see things going forward, we got to make sure that we take some risk too. And we have the balance sheet to do that. So we get pretty much a go ahead from the Board to take those opportunities. And in areas where you have proven success over time and you see that you have an underlying database that is promising, then don't be afraid of taking some risk and take on some lower prefunded projects. So I think we can see good mix in 2023, probably a bigger mix or a wider range that you saw in '21 and '22 where there was a majority of ILX projects. In general, funding is going to be at a very high level for sure.
Sven Børre Larsen: We have a few questions from online from Christopher Mollerlokken. First, he asks, could you remind us how you define contract inflow? Yes, it's simply all the dollar value of -- the aggregate dollar value of the contracts that we sign in a given period. Then he asks, with Q3 MC investments being a bit on the high side due to technicalities, what would be a fair estimate for organic MC investments in Q4 2022? Of course, there is still a bit of uncertainty, not so much in terms of what projects we are going to work on in Q4. But when the start-up point and all of that will be, whether it slips or whether we can push something forward and so on, so there's still a bit of uncertainty but we're currently looking at close to or around $40 million for Q4 investments. And then we'll have to come back to that, obviously, in early February. And then he asks, how will you account for Magseis in Q4? So we will consolidate it 100% and then adjust the parts that -- for the parts that we do not own in -- as a minority interest. And the way we're thinking now, we will also consolidate it fully in the entire quarter. Yes, there was a similar question from Mike Pickup in Barclays about Magseis consolidation. So I guess that has been answered. And that is it on the web. Any more questions from the room? John?
John Olaisen: Your backlog for multi-client investments next year is $165 million. Is that correct, 225x 65%, if I get it correctly?
Sven Børre Larsen: Yes.
John Olaisen: I just wonder, the Amendment 2, is that included 100%? So I guess Schlumberger still has the option to buy into that, is – or am I wrong?
Sven Børre Larsen: Yes. So Amendment 2 is, at this stage, a 100% TGS project, yes.
John Olaisen: Would TGS – sorry, Schlumberger has the option to buy into that?
Kristian Johansen: They do. But the way it works is that if they do -- and then we may be likely to buy and to trade into one of their service. And overall, I think our ambition is that we're going to be 50-50 partners overall. So I think for the year, I don't think that matters a lot.
John Olaisen: Then on the high amortization, I just wonder, do you get a tax shield for all the amortization regardless of the definition of amortization?
Sven Børre Larsen: Yes. We should, yes.
John Olaisen: So the P&L amortization depreciation is…
Sven Børre Larsen: Yes.
John Olaisen: Also the tax depreciation and amortization?
Sven Børre Larsen: Yes.
Kristian Johansen: All right. With that, I want to say thank you very much to everyone who followed the Q3 presentation and wish you come back and I hope to see you again in early 2022 when we have our Q4 presentation at our Capital Markets Day. So thank you very much.